Operator: Good day, ladies and gentlemen, and welcome to the conference call to discuss Matson's Third Quarter 2024 Results. As a reminder, today's program is being recorded. And I would now like to introduce your host for today's program, Mr. Justin Schoenberg. Please go ahead, sir.
Justin Schoenberg: Thank you. Joining me on the call today are Matt Cox, Chairman and Chief Executive Officer; and Joel Wine, Executive Vice President and Chief Financial Officer. Slides from this presentation are available for download at our website, www.matson.com, under the Investors tab. Before we begin, I would like to remind you that during the course of this call, we’ll make forward-looking statements within the meaning of the Federal Securities Laws regarding expectations, predictions, projections or future events. We believe that our expectations and assumptions are reasonable. We caution you to consider the risk factors that could cause actual results to differ materially from those in the forward-looking statements in the press release, the presentation slides and this conference call. These risk factors are described in our press release and presentation and are more fully detailed in the captioned Risk Factors on pages 13 to 25 of our Form 10-K filed on February 23, 2024 and in our subsequent filings with the SEC. Please also note that the date of this conference call is October 30, 2024 and any forward-looking statements that we make today are based on assumptions as of this date. We undertake no obligation to comment on these forward-looking statements. I will now turn the call over to Matt.
Matthew Cox: Thanks, Justin and thanks to those on the call. Starting on slide three, Matson had a very strong third quarter that exceeded our expectations with higher year-over-year operating income in both Ocean Transportation and Logistics. In Ocean Transportation, our China service saw significantly higher year-over-year freight rates and was the primary driver of the increase in consolidated operating income. For our domestic tradelanes, we saw higher year-over-year volume in Alaska, but lower year-over-year volume in Hawaii and Guam. In Logistics, operating income increased year-over-year due to higher contributions from supply chain management and transportation brokerage services. As a result of our performance in the third quarter and the expected strength of our China service in the fourth quarter, we're raising our outlook for 2024. Joel will go into more detail on our updated outlook later in this presentation. I will now go through the third quarter performance of our tradelanes, SSAT and Logistics, so please turn to the next slide. Container volume in our Hawaii service decreased 2.2% in the third quarter year-over-year. The decrease was primarily due to lower general demand. Hawaii's economy continues to grow slowly with stalled growth in statewide tourist arrivals. Tourism continues to be impacted by declines in Maui tourism following last year's wildfires and by the sluggish pace of the recovery in Japanese tourist arrivals which has been impacted by weakness in the yen to the US dollar exchange rate. I will go through our full year outlook on the next slide, so please turn to slide five. According to UHERO's third quarter 2024 economic report, the Hawaii economy is projected to grow slowly in 2024 supported by a low unemployment rate, increasing construction activity and low growth in tourist arrivals. For 2024, we expect volume to be modestly lower than the level achieved last year primarily due to low or no growth in tourism, continued challenges in population growth and lower discretionary income as a result of higher inflation and interest rates. Moving to our China service on slide six. Matson's volume in the third quarter of 2024 was 2.6% higher year-over-year due to two additional sailings. We continued to see strong demand for our CLX and MAX services and achieved significantly higher average freight rates year-over-year. Please turn to slide seven. The elevated freight rates in the third quarter 2024 were primarily due to a traditional peak season with strong freight demand. A resilient US economy and a stable consumer demand environment coupled with tighter supply chain conditions supported these elevated rates. From a demand perspective, US retail sales during the quarter were solid and e-commerce continued to grow faster than overall retail market. E-commerce continued to be an underlying driver of freight demand for both our Transpacific services during the third quarter as well as seasonally strong categories like garments and e-goods. We also continued to see conversion of airfreight to the CLX and MAX, particularly in the e-goods vertical. With respect to tighter supply chain conditions, the traditional peak was augmented by some shifting of consumer routing through the US West Coast in response to continued disruptions in the Red Sea as well as to risk management against impacts from the ILA negotiations on the East and Gulf coasts. Looking ahead, for the fourth quarter, we expect our China service freight rates to be significantly higher than the levels achieved in the year ago period as long as the underlying economic supply chain and geopolitical consistence persist, but lower than the average rates achieved in the third quarter as the peak season demand eases. Regardless of the economic and geopolitical uncertainties, we remain focused on continuing to deliver a differentiated value proposition as compared to air freight with CLX and MAX services as the two fastest and most reliable expedited ocean services in the Transpacific. Please turn to the next slide. In Guam, Matson's container volume in the third quarter of 2024 decreased 9.4% year-over-year due to lower demand from retail and food and beverage segments. In the near term, we expect the Guam economy to remain stable with a low unemployment rate, but slow growth in tourism. Similar to Hawaii, the Guam tourist arrivals have been impacted by the slow recovery in Japanese visitors. For 2024, we expect container volume to be lower than the level achieved last year. Please turn to the next slide. In Alaska, Matson's container volume for the third quarter of 2024 increased 1.4% year-over-year due to higher retail related demand. In the near term, we expect continued economic growth in Alaska supported by a low unemployment rate, job growth and lower levels of inflation. For 2024, we expect Alaska volume to approximate the level achieved last year. Please turn to slide 10. Our terminal joint venture SSAT increased $5.6 million year-over-year to $6.9 million. The higher contribution was primarily due to higher lift volume. For full year 2024, we expect the contribution from SSAT to be higher than 2023 due to an expected increase in lift volume. Turning now to Logistics on slide 11. Operating income in the third quarter came in at $15.4 million or approximately $1.5 million higher than the result in the year ago period. The increase was primarily due to higher contributions from supply chain management and transportation brokerage. Our supply chain management service benefited from a similar market condition to those in our China service, while our transportation brokerage business benefited from stronger international intermodal demand. For the fourth quarter of 2024, we expect operating income to be modestly higher than the level achieved last year. I'll now turn the call over to Joel for a review of our financial performance.
Joel Wine: Thanks, Matt. Please turn to slide 12 for a review of our third quarter results. For the third quarter, consolidated operating income increased $110.2 million year-over-year to $242.3 million, with higher contributions from Ocean Transportation and Logistics of $108.7 million and $1.5 million, respectively. The increase in Ocean Transportation operating income in the third quarter was primarily due to significantly higher freight rates in China and higher freight rates in the domestic tradelanes, partially offset by higher vessel operating costs. As Matt noted, the increase in Logistics operating income was primarily due to higher contributions from supply chain management and transportation brokerage. We had interest income of $10.4 million in the quarter. Interest expense in the quarter decreased by $0.6 million year-over-year due to the decline in outstanding debt in the past year. Net income increased 66.1% year-over-year and diluted earnings per share increased 73.2% year-over-year with a difference between the two due to a 4.2% decrease in the diluted weighted average shares outstanding. Please turn to slide 13. This slide shows how we allocated our trailing 12 months of cash flow generation. For the LTM period, we generated cash flow from operations of approximately $704.5 million from which we used $39.7 million to retire debt, $205 million on maintenance and other CapEx, $40.6 million on new vessel CapEx including capitalized interest and owner's items, $35.5 million in cash deposits and interest income in the CCF, net of withdrawals for milestone payments, $12.3 million on other cash outflows while returning approximately $259.1 million to shareholders via dividends and share repurchase. Please turn to slide 14 for a summary of our share repurchase program and balance sheet. During the third quarter, we repurchased approximately 400,000 shares for a total cost of $48.1 million, including taxes. Year-to-date, we repurchased approximately 1.4 million shares for a total cost of $169.2 million, including taxes. Since we initiated our share repurchase program in August of 2021 through September of this year, we have repurchased approximately 11 million shares or 25.2% of our stock for a total cost of approximately $925 million. As we have said before, we are committed to returning excess capital to shareholders and plan to continue to do so in the absence of any large organic or inorganic growth investment opportunities. Turning to our debt levels. Our total debt at the end of the third quarter was $410.6 million, a reduction of $10.1 million from the end of the second quarter and $30 million year-to-date. With that, let me now turn to slide 15 and walk through our outlook for the fourth quarter of 2024 on the left-hand side of this page. We expect Ocean Transportation operating income for the fourth quarter 2024 to be meaningfully higher than the $66.4 million achieved last year. We expect our China service to continue to see elevated rates in the fourth quarter and for the rates to be significantly higher than the levels achieved in the year ago period, but lower than the average rates achieved in the third quarter of this year as peak season demand eases. For our domestic tradelanes in aggregate, we expect full year volumes to approach the levels achieved in 2023, absent a significant change in the trajectory of the US economy. For Logistics, we expect operating income in the fourth quarter 2024 to be modestly higher than the level achieved last year. Lastly, we expect to have an effective tax rate of 22% in the fourth quarter of 2024. On the right-hand side of this slide, we expect the following outlook items for the full: Depreciation and amortization to approximate $180 million inclusive of $27 million for drydock amortization; interest income to be approximately $47 million and as noted in the second quarter this includes $10.2 million in interest income earned on our federal tax refund that was received on April 19th of this year; interest expense to be approximately $8 million; other income to be approximately $7 million; and drydocking payments of approximately $35 million. Moving to slide 16. The table on this slide shows our CapEx projections for the full year 2024. Compared to what we said previously provided on our second quarter call in August, our range for maintenance and other capital expenditures is the same at $110 million to $120 million. We tightened our range for our LNG and reengineering projects to $85 million to $90 million versus $85 million to $95 million previously, and our new vessel milestone payments increased slightly by $2 million to $77 million. So, overall, for the year, we now expect total million of $272 million to $287 million. I would like to note that we completed all of our LNG projects with Kamina Hila exiting the drydock in October and we expect that vessel to be back in service starting next week. Please turn to the next slide. We are excited to share the update that on September 30th construction officially began on the first of our three new Aloha Class vessels with the first cutting of steel at the Philly Shipyard in Pennsylvania. Upon delivery, these new vessels will have dual fuel engines capable of operating on both conventional marine fuels and LNG. As a reminder, we expect to carry approximately 15,000 more containers per year in our China service once all three vessels are in service. We currently expect the first vessel to be delivered in the fourth quarter of 2026 and the remaining two vessels to be delivered in 2027. Please now turn to slide 18. The table on the slide shows our expected milestone payments for the new vessel build program. As of September 30, we had cash deposits of $635 million in the CCF and cash and cash equivalents of $270 million. These two balances combined exceed our remaining milestone payments, so we are in a great funding position on the new build program. Lastly, I would like to point out that in October we made the reference fourth quarter milestone payment of approximately $36 million. I will now turn the call back over to Matt for closing remarks.
Matthew Cox: Thanks, Joel. Our year-to-date results were very strong, primarily driven by elevated rates in the last two quarters in our China service. And in the fourth quarter we expect our consolidated operating income to be meaningfully higher year-over-year as our China service freight rates remain elevated, although lower than those achieved in the third quarter. As a result, we expect to close out 2024 on a high note. As I said on the last earnings call, we at some point expect elevated freight rates in the Transpacific tradelane to moderate, but the timing will depend on the persistence of the underlying economic supply chain and geopolitical conditions. At this moment, it is unclear if any of the elements of risk will normalize during 2025. We will wait until our earnings call in February to provide our outlook for the year ahead. And with that I will turn the call back to the operator and ask for your questions.
Operator: Certainly. And our first question for today comes from the line of Daniel Imbro from Stephens. Your question please.
Daniel Imbro: Hey, good afternoon, guys. Thanks for taking our questions.
Matthew Cox: Hi, Daniel.
Daniel Imbro: I want to start maybe on a nearer term one of the rate side, obviously, topical. And Matt, third quarter backdrop rate was strong. It sounds like you're expecting some moderation in 4Q, but maybe how have rates trended as we left the ocean peak season? Ocean rates broadly have fallen, but it looks like the air freight market remains tight. So, how should we think about your pricing? And maybe a second part of that question is, I know you guys typically don't like to quantify it, but any way you can help investors think about what you're anticipating from a sequential rate step down standpoint just as you try to calibrate expectations.
Matthew Cox: Yeah. I would say the first point to note is that expect overall to see a moderation more in line with traditional Q3 versus Q4 in the opportunities for earnings. And if you just -- if you look -- I'll answer more specifically your question in a moment about what we're seeing. But if you just take a step back, the third quarter is always our strongest quarter followed by the second quarter and then the fourth quarter and the first is the weakest. And so, there's a pattern that we expect to be repeating itself, but on a base that is higher than we initially expected going into the quarter. If you look at the trade dynamics now, a lot of the product that is carried in the Transpacific and frankly globally, as you get into the festive season of Thanksgiving and Christmas is largely on the water or on its way into the various warehouse and distribution systems of our large customers. So, they have product on hand for the selling seasons. There are -- and so, we're seeing sort of a traditional moderation there. There's a couple of uncertainties and a couple of structural changes that have been occurring over the last five years. We see more e-commerce sales as compared to traditional retail. That cargo tends to be a little less seasonal. And so that's an element that's happened over the last three, four, five years and we expect that to continue. There are some continued questions about the ILA contract renewal mid-January. We have an early lunar new year this year. And so, there's a lot of fact every -- there are some things that are happening on the margin that may impact the fourth quarter, but those are all factors, of course, the presidential election and potential tariffs. So, lots of things up in the air that would -- as we look back on the fourth quarter once these events have occurred, to be able to give more color on it. But overall, I think we still feel that we're going to be performing well in the fourth quarter above the fourth quarter -- well above the fourth quarter in the previous year. So that's -- and then with regard to the questions about trying to be more specific, I'm going to turn that one over to Joel to see if he can provide any color.
Joel Wine: But I think you hit all the key points, Matt. So, I mean, Daniel, we expect because of the rate environment Matt just discussed, we're going to have meaningfully higher earnings this fourth quarter versus last year's fourth quarter. And it's due to a lot of the trends and strengths that Matt just mentioned. So nothing really to add there.
Daniel Imbro: Got it. Helpful. And then maybe the follow up question. On the CLS/MAX line, I think you guys have chartered these ships the last few years and you've noted you've locked in above market rates because of when you locked them in. When do those ships reprice as we think about the back half of this year in '25. And what kind of operating margin tailwind could that be next year as you begin to reprice some of those chartered costs?
Matthew Cox: Yes, Daniel. So, thanks for that question. So, we've actually extend all of our charters now for the six ships in the MAX service in into 2026 and a couple actually into 2027. So, I can tell you that the charter market is still pretty tight right now. So, rates have moved up relative to where charter market rates were, let's say nine or 12 months or so ago. But there will be a little bit of favorable cost for us. It won't be huge, but we're looking at a number around $8 million in 2025 of lower charter costs than 2024. So, little bit of benefit there on the cost side. The most important thing to us was to lock-in these vessels that really meet our service requirements. And we feel really good that we have that locked now into 2026 and 2027.
Daniel Imbro: Helpful. Thank you.
Matthew Cox: Thanks, Daniel.
Operator: Thank you. And our next question comes from the line of Jacob Lacks from Wolfe Research. Your question please.
Jacob Lacks: Hey, Matt. Hey, Joel. Thanks for your time.
Matthew Cox: Hi, Jake.
Jacob Lacks: So, I guess, big picture, it feels like the import data we looked at remains pretty robust in contrast to a lot of the domestic freight data we get. How sustainable do you think this is? And is this just a lot of pull forward, or is there some reason that maybe import levels should be structurally higher here?
Matthew Cox: Yeah. I think it's, Jake, a combination of the two. I think if you look at, and we look at the health of the US consumer, which has -- we've talked about the consumer hanging in there and we expect that to continue. I know US GDP print just came out and the economy remains strong and that's one of the main factors in what we're seeing in terms of underlying demand. As far as the elements that are maybe more structural, I do believe that we're seeing, we Matson, in our expedited segment in the Transpacific are seeing the benefit of really two things that we've talked about before. One I talked about a moment ago, which is the conversion of e-commerce relative to traditional commerce. E-commerce wants to move faster and we see that e-commerce is growing faster than traditional retail sales. We think that's a positive. We also see ongoing conversion of air freight into our expedited product for those customers who are taking advantage of a significantly lower cost and for some customers, a significantly reduced CO2 footprint. We think those also are factors. Then, the other factor that I think we saw is some uncertainty around the ILA contract extension, questions about its renewal. And some of our customers, we were told, have derisked by moving it over West Coast routings. They're also, as we understand it now given the January 15 contract renewal, making sure that they have adequate inventory, not excess inventory, but adequate inventory to find their way through any potential disruption until that's finally settled. Those are some of the factors I think that are playing into the strength that we're seeing in our business.
Jacob Lacks: That's helpful. And then in the past, I think you've called 2023 maybe more of a normal year. Has anything changed over the past year, and sort of in what respect you view as a good baseline of operating income? If we want to try to start think of more normalcy in 2025 and beyond.
Matthew Cox: Yeah. I mean, a year ago the question just taking a step backwards during the pandemic, we had extraordinary earnings. We knew they weren't going to last. We saw 2023 and we thought this could be our new normal. And then events have overtaken our actual performance in 2023 to show significantly higher performance in 2024. I don't want to abandon an idea of one happy day when everything is working as it should or when that could occur. I do think that there -- I would make two comments. I think given Matson's positioning and control of our supply chain and our product offering, we can react better than other carriers to meet changing market conditions. And we're really feel good about our positioning. We do think that at some point some of these uncertainties, whether it's the Red Sea or other geopolitical uncertainties, will change or normalize. That would likely have a reduction in freight rates both in the entire Transpacific market and ours would be taken down somewhat in sympathy to those. But it's really hard to know when that would occur. Whether '23 turns out to be our new normal or whether it's something a bit higher, it's really hard to say. But we do like our positioning, we like our performance. We continue to believe that in the China service, if we can remain the fastest and most reliable with CLX being the number one and MAX being number two, we're going to have the ability to harvest more of the economics of that expedited market than anybody else. So that's a long-winded answer, but those are just some of the thoughts.
Jacob Lacks: Yep. Makes sense. Thanks for that. And then maybe just a couple quick follow ups on the charter question from earlier. Are you going to continue with six vessels in the MAX fleet, or will you move back to five? And then, I think a couple -- at least a few of the contracts were at least scheduled to expire in 2025. Could there be another step down in costs in 2026 then? Or is that a -- is the $8 million just a good run rate to keep in mind?
Joel Wine: Yeah. So on the first question, Jake, so yes, six is what we feel is the adequate number for that service that provides us flexibility to maintain on time departures and on time arrivals. So, we think of that as really a permanent six ship fleet. So that's the number that we focus on. And so, yeah, $8 million to 2025 versus 2024 is the number for 2026. We've got a couple coming up in '26 and then the rest in 2027. They won't be dramatically different. So, there's not going to be a meaningful step down between '26 and '25. The second part of your question, Jake. But again, I want to underscore the most important thing to us is having vessels that meet our really unique service requirements, not all the vessels in the world of this size fit that. So, it's important for us to find the right vessels, lock them in. We've done that. And that was the most important objective we've had in the last quarter or two as we looked at our fleet for the MAX service in '25, '26 and '27.
Matthew Cox: And Jake, this is Matt. I would just add one other comment. We are the only ocean carrier in the world that we know of that adds an extra shift into a 35-day rotation, because we are so committed to delivering this on time. We think it's a big differentiator. It allows us to significantly outperform our rivals and charge a premium for that extra cost that we incur. So, more than recover in the cost. So, the model is different and we think it's essential to our branding and to be able to deliver because, if there's a fog and a port closure that affects everyone, our ability to respond faster than everyone puts us in a better position. So, we can't control the weather or other kinds of things. But we certainly think this is an investment that more than pays for itself.
Jacob Lacks: Great. Makes sense. Really appreciate the time.
Matthew Cox: Yeah. Thanks, Jake.
Joel Wine: Thanks, Jake.
Operator: Thank you. And our next question comes from the line of Ben Nolan from Stifel. Your question please.
Benjamin Nolan: All right. And I'll tell you what, operator, you have a voice for the job. I've got two questions. Well, I guess I'm only allowed two questions. But my first is, SSAT was meaningfully better. I think last quarter you had said that there was sort of a lag effect because SSAT is sort of overleveraged to Oakland and the Pacific Northwest relative to Southern California. So, first of all, does that mean that. And it does look like Oakland has had a lot more volume. And so, there's more volume in that category. But then the second part of the first question is, as you think about that and more volume coming into Northern California, is there any thinking about resurrecting the CCX at all?
Matthew Cox: Yeah. Ben, this is Matt, and I agree with you. This person who's helping us with this conference call has got an awesome voice. So, I 100% agree with you. With regard to your more important comments, I think when we talked about SSAT in the JV, we were talking about its recovery likely taking beyond 2024, that we had sort of gone through the pandemic and got to the other side. And relative to what we said at the beginning of the year, we've seen a little bit better performance. And there were no service changes. New strings added that are calling our customer terminals anywhere. But we saw just an orderly transition of slightly larger vessels that are moving over our operating terminals. We also said that the PNW, where we had surplus terminal capacity, was in particular lighter than we hoped it would be. So, I think what's happened is, as we take a step back and have the benefit of a little bit of hindsight, I thought we saw more volume in the Transpacific and through our joint venture terminals as a result of the return of cargo through the Transpacific that had migrated elsewhere during the ILWU West Coast contract renewal. And then as we mentioned, we saw some incremental cargo that moved over Transpacific vessels associated with the ILA contract renewal that's currently in process. So, I think those were both factors. There was incrementally more volume in Oakland, but not materially. There was a threat of a Canadian strike that brought some PNW cargo down or individual calls for over concerns about that. So, there were little things that have happened, but I think our feeling at SSAT is it's hit bottom, it's on its way to recovery. How quickly that occurs will be subject to lots of things, but I think we definitely feel like we've hit bottom and we've come off that bottom. If that provides enough color for you.
Benjamin Nolan: Right. And then any thinking on resurrecting the CCA?
Matthew Cox: Sorry. Yeah. I blocked that question out of my mind. Yeah. No, I would say it's a good question. We are always asking ourselves where and how can we grow? How are we going to leverage this wonderful brand we've created? And I think as we look at it, first of all, there's no announcements or anything, but what we have to do, as we think about it, is find a market in which we can be competitive with air freight, that we can find five or six fast vessels on charter, that we have the ability on the US West Coast through our shippers transport infrastructure to be able to handle that, whether that's current sites or new sites or whatever. And if we can't be satisfied that we can't provide a highly differentiated service and earn a reasonable premium for it relative to the other market rates, those are all going to be factors in our decision. And just one item at this point, there are very few -- as Joel mentioned in his comments on the chartering, very few vessels of our speed and size on the market available for charter. So, obviously, charter markets, all markets change. We have -- we will continue to look at can we expand our significant brand into other markets around the world. And I think that to us feels like a good long-term, something to keep an eye on as we figure out how we're going to grow.
Benjamin Nolan: Okay. So, for my next question, you were talking about some of the e-commerce stuff and it's been pretty topical within broader transport lately, especially around some of the Chinese companies like Shein and Temu, and they're doing mostly air freight. And it has been sort of a problem for some of the partners guys are trying to get away from it a little bit. I'm curious where you sit in that spectrum with respect to that type of shipper. Is that something you're doing? Is it an opportunity? Is it something that maybe doesn't fit what you're doing? Just any color around that sort of new dynamic.
Matthew Cox: Sure, yeah. And the market itself is evolving. The players are evolving. Obviously, Amazon is the 600-pound gorilla. But you mentioned Shein and Temu, Shein and Temu who have said publicly there's this de minimis trade exemption that allows for a lower cost tariff structure. They raised the de minimis threshold in 2016 from $200 to $800 and that has created that segment of that market. Shein and Temu moved today almost all of their freight via air freight in those markets. They themselves have said they expect this de minimis trade exemption at some point to go away. Their products are really low priced and their model is going to be evolving for -- if and when this de minimis exemption closes. We also think that over time that Shein and Temu -- while we see very small amounts of their cargo moving into our network through our freight forwarder customers, we expect that air freight conversion of those customers, especially with the de minimis exemption going away to look more closely at expedited ocean as all of our air freight customers are looking at whether or not our product would solve their need. And again, we like the macro of e-commerce through -- and we're in regular discussion with all of our e-commerce customers and those customers who sell into the Amazon and the other networks. So, lots of opportunity. I think generally there are different paths for each of these people, because they're in their own different journey and trying to tackle different parts of the e-commerce market, which is not one thing, but probably 10 things. But generally, we're feeling good about where we're positioned relative to all the dynamics that are work right now.
Benjamin Nolan: Got it. Appreciate it. Thank you.
Matthew Cox: Okay. Thanks, Ben.
Operator: Thank you. [Operator Instructions] And I'm not showing any further questions in the queue at this time. I'd like to hand the program back to Matt Cox, CEO, for any further remarks.
End of Q&A:
Matthew Cox: Okay. Thanks very much, operator. I just want to say thanks for everybody who's listening on the call. We'll look forward to catching up with everyone after the holidays on our year-end call. Have a wonderful holiday. Thanks.
Operator: Thank you, ladies and gentlemen for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.